Operator: Good day, everyone, and welcome to the CBS Corporation Third Quarter 2012 Earnings Release Teleconference. Today's call is being recorded. At this time, I would like to turn the call over to the Executive Vice President of Investor Relations, Mr. Adam Townsend. Please go ahead, sir.
Adam Townsend: Thank you. Good afternoon, everyone, and welcome to our third quarter 2012 earnings call. Joining me for today's discussion are Sumner Redstone, our Executive Chairman; Leslie Moonves, President and CEO; and Joe Ianniello, Executive Vice President and CFO. Sumner will have opening remarks and will turn the call over to Les and Joe, who will discuss the strategic and financial results. We will then open up the call to questions. Please note that statements on this conference call relating to matters, which are not historical facts, are forward-looking statements, which involve risks and uncertainties that could cause actual results to differ. Risks and uncertainties are disclosed in CBS Corporation's news releases and Securities filings. A webcast of this call and the earnings release related to today's presentation can be found on the Investors section of our website at cbscorporation.com. Reconciliations for non-GAAP financial information related to this call can be found in our earnings release or on our website. And with that, it's now my pleasure to turn the call over to Sumner.
Sumner M. Redstone: Thank you, Adam. Good afternoon, everyone. Today I want to start by thanking the good people at CBS for their tremendous effort during Hurricane Sandy. My thoughts go out to all those affected by the storm. I'm really glad CBS was able to help along the way. As far as CBS's results are concerned, we have done it again, another quarter of outstanding results on our way to another phenomenal year, and I guarantee you, the momentum keeps building. I couldn't be more pleased. Clearly, CBS has the right strategy in place to take advantage of all the ways it can get paid for its industry-leading content. I'm confident, really confident, that this success will continue in 2013 and for many, many years to come. My confidence is in no small part due to the talented executives at CBS who make it all happen. Simply put, Leslie and his team know how to get this done. And so it's my great pleasure to turn this call over to my good friend and colleague, a man I frequently call a genius for the extraordinary, brilliant ways in which he has operated CBS. And now I turn this over to Chief Executive Les Moonves.
Leslie Moonves: Thank you very much, Sumner. Good afternoon, everybody, and welcome, especially you on the East Coast that are suffering through this nor'easter yet again. This certainly has been a monumental couple of weeks. Hurricane Sandy has devastated many communities in the Northeast and ultimately affected all of us in one way or another. We wish as quick a recovery as possible to everyone in Sandy's path. And as a company, we will continue to help in that effort. I would like to acknowledge the sacrifice and effort of all the CBS employees involved with the relief help during this difficult time. I also want to take a second to thank CBS News and our local TV and radio stations for their tireless work as well. These news outlets did what broadcasters do in times like these. They provided essential services to people in a way that can't be done by any other medium. And of course, last night, we also had another historic event with the election. It's been a difficult campaign. But hopefully, America can come together, and we can now move forward. Once again, I want to point out the outstanding efforts by our terrific team at CBS News from primaries into the wee hours of this morning. Now on to the business at hand. As you can see in today's release, CBS is continuing its streak of record-breaking results with all-time third quarter records in revenue, OIBDA, EPS and virtually all other key metrics as well. The fact that we were able to achieve these results in an economy that is still recovering is a testament to the remarkable transformation underway at our company. Our base businesses continue to be extremely solid performers, and at the same time, we're growing the size of our overall revenue pie by steadily increasing on non-advertising revenue as well. During the quarter, 44% of our revenue came from non-advertising sources, a dramatic change from the less than 30% we had just a few years ago. And the good news is there's still a long way to go in our evolution, and that's why we're so encouraged about what we will accomplish in 2013. Since we spoke with you about 3 months ago, we've taken many significant steps to provide consistent sources of growth for the quarters and years to come. First, we signed key retrans deals with DirecTV, Cablevision and AT&T that, together with our DISH deal earlier this year, represent 40% of the footprint covered by our TV stations. In total, our new retrans deals were done on terms significantly higher than anything we've done before and will help us get to our stated revenue goals even quicker than we'd hoped. We also signed a reverse compensation deal with one of our larger affiliate groups at significant increases as well. Again, we used to be paying them, and now they're paying us. And as we recently said, our new target is to reach at least $1 billion of revenue from retrans and reverse comp by 2017, and we are confident that we will be there ahead of that. Meanwhile, before the fall season even started, we sold our own shows into a very strong international marketplace. This includes Elementary and Vegas, each of which went for more than $2 million per episode, making them immediately profitable franchises for us. And we sold The CW's Beauty and the Beast, another CBS Studios production, for more than $1.5 million an episode as well. We also signed a series of new streaming deals that, again, are additive to the overall revenue picture. These include a new agreement announced this week with Hulu Plus for domestic streaming of our library content, as well as new deals with Netflix International in the U.K., Canada, Latin America, as well as in Scandinavia. Once again, we're taking advantage of all the new ways that people want to consume our content all over the world. So from retrans to reverse comp, syndication to streaming, all of these key revenue opportunities are growing as we said they would, plus we continue to get solid performance out of our core business. In short, we're doing exactly what we told you we'd do, and as a result, we've just produced record third quarter results. We're going to produce record results for the full year 2012 as well, and we set up the company to perform even better in 2013 and for a long, long time after that as well. Today, I'm going to give you some more details about our third quarter results. Then I'm going to discuss a few of the operating highlights across our businesses. And after that, I'll turn it over to Joe for his remarks, and then we'll be happy to take your questions. Once again, we've set records in virtually all key financial categories. These includes revenues -- revenue, which grew 2% from last year to $3.4 billion; OIBDA up 7% to $898 million; operating income up 10% to $771 million; and adjusted EPS, which was up 30% to $0.65. So you can see that we have taken single-digit revenue growth and turned it into healthy double-digit profit growth and even better EPS. And again, these were all records for us. Plus, as we continue to build more steady and recurring revenue streams, we are also successfully containing costs. And nowhere is that better reflected than in our OIBDA margin, which, at 26%, was also a record for us. We continue to bring in healthy levels of free cash flow, too. We see no better use of our excess cash than buying back our stock and increasing our dividend. Going forward, as we continue to generate cash, I am focused on looking for opportunities to increase both of these. Now let's take a look at our company's performance in each of our businesses, starting with Entertainment. CBS continues to be the most watched network on television. We once again have more than top 10 shows than all of the other networks combined, and we currently lead our nearest competitor by more than 3 million viewers per night. We have the #1 comedy with The Big Bang Theory, the #1 drama with NCIS, the #1 news magazine in 60 Minutes. And our 2 new dramas, Vegas and Elementary, are the top 2 new shows of the season. So we feel very good about our competitive position, which is improving week after week. Meanwhile, this was clearly an unusual start to the season with most networks' ratings all over the place. There are several factors at work here. First and foremost, people are watching more programming than ever, but they are increasingly time shifting that content through the DVR, streaming and video on demand. Nielsen is doing a good job of finding ways to measure this viewing, but not all of it is captured yet. Comps are difficult because of a number of factors, including debates in 4 consecutive weeks of the new season. We now have the NFL on Thursday nights, and on CBS last year, we had an extraordinary start to the season on Monday night with the debut of Ashton Kutcher on Two and a Half Men. As a result, these early numbers that you're seeing are atypical. We fully expect as the season goes on and when the season ends, we will once again win in viewers in 25 to 54 and be right there in 18 to 49 as well. Again, the most significant development we're seeing is the increased levels of viewing via the DVR streaming and video on demand. This is a good thing for us. It means that more people are watching our programming in the situations where there used to be scheduling conflicts. But it also means that you have to be more savvy when reading the ratings these days. It now takes more time to determine the true performance of a show, and in fact, even a network. As we look at DVR numbers, we're seeing tremendous lift for many of the top shows on television. In fact, CBS has 11 of the top 20 DVR lifted shows. During the C3 window, many of our shows are being lifted by as many as 3 million and 4 million viewers. And on top of that, our DVR numbers for these shows increased by nearly another 30% when we look at 7 days of DVR viewing. As we move forward, we will make it a priority to get paid for all of the viewing that is going on across our shows, including DVR viewing beyond C3. This represents a significant opportunity for us that is still in the very early stages. Just for some perspective, on this several years ago, we told you that we would monetize retrans and reverse comp in ways that would change our industry. There were many skeptics. Clearly, we have delivered on that commitment. You should now have full confidence that monetizing all of our viewing is a priority for us and will be a whole new part of our overall growth strategy in the quarters to come. Plus, there is significant upside in terms of the revenue we can generate from streaming through players like Netflix and Amazon, all the new companies that are coming on the scene. We have options to extend our current deals, and we have new players looking to license our content as we speak. In addition, we are considering for the first time opportunities to license past seasons of current CBS and Showtime programming. As you know, we've been very careful about this, and we are now confident that streaming these shows can represent significant incremental new high-margin revenue for us in 2013 and '14, too. As we do this, we are fully confident that CBS Television Network will continue to dominate. Once again, network television continues to have the biggest audiences anywhere, and CBS continues to be #1 without any make good issues whatsoever. And scatter demand remains very strong and is, in fact, now building. Yes, our pacing in network advertising is accelerating as we speak. And as we head into the second half of the season, our momentum will only be built. Within a 4-week period, in Q1, in primetime, we will have the AFC Championship, the Super Bowl and the Grammys. Conservatively speaking, we will have 170 million incremental viewers watching CBS during this time. We will obviously get a big ratings boost when we broadcast these events, and we will also have the world's best promotional platform to support our overall programming lineup for the rest of the 2013 season. And speaking of the Super Bowl, most of our inventory is already sold at extremely strong pricing. Spots have gone for north of $4 million for 30 seconds. And in New York alone, we sold a spot on WCBS for just shy of $1 million. Just think of that, $1 million for a local spot in one market, pretty incredible. So as you'd expect, the Super Bowl and the NFL overall continues to be an extremely hot ticket. As we look ahead to the 2013, we also have a very strong round of syndication for leases to monetize. The Good Wife, NCIS: Los Angeles, Blue Bloods and Hawaii Five-O will all hit the books within the next 2 years with 2 of these shows being sold in 2013 and the other 2 in '14. And looking further down the road, we expect to replicate this process with Elementary and Vegas as well. Having the best content is also the key to our success at Showtime. Since our last call, Homeland became the first show in nearly 20 years to win the Emmy Award for lead actor, lead actress, best writing and best drama, all in the same year, a remarkable feat for a freshman series. This show has unprecedented buzz and has picked up where it left off last year in terms of ratings. In fact, both Homeland, as well as Dexter, are up over last year's strong numbers. And this past week, they both had their highest ratings ever. What's most important about the success of these shows is their ability to drive subscriber growth. And Showtime has now reached 22 million subs. The conversations with MSOs are a whole lot easier when you have a show like Homeland in your arsenal. Going forward, Showtime will be launching 2 new dramas, and we have ownership in both of them. Plus, the production team behind 60 Minutes will be launching a new sports magazine on Showtime called 60 Minutes Sports in January as well. By the way, that's what I call synergy, CBS News, CBS Sports and Showtime all working together. In Publishing, digital sales now represent more than 20% of Simon & Schuster's business, and that percentage is growing year after year. And as you could see in our results, we're benefiting from the favorable economics of e-books with a Publishing margin that has now reached 19%. Plus, Simon & Schuster continues to release new successful titles all the time. So far this year, we've had more than 276 New York Times bestsellers, with 32 of them making it to #1. Turning to our local businesses, as I said earlier, this has been a very active campaign season from the presidency to all the congressional races to the many prop initiatives that were on the ballot in California. An unprecedented amount of money was spent this year. All told, we set a new record for the most dollars ever in a presidential election year. And more so than in the past, the dollars came in during the fourth quarter rather than the third. So you'll see the benefit of that on our next call. In addition, Automotive, which is our biggest category, continues to be very strong, and TV station pacing is accelerating overall. Meanwhile, our Television Stations continues to have success in the very lucrative late-night news time slot fueled by the strength of the CBS Television Network and by our 10:00 shows where we win on just about every night. During Premiere Week, 12 our major market stations ranked first or strong second in this time period. In fact, WCBS in New York had its highest news rating since 2009, and WBBM in Chicago had its best ratings in 8 years. In Radio, we took a significant step with our major market strategy with the acquisition of 101.9, which now gives us another strong signal in the nation's #1 market. It has been renamed WFAN-FM and is now the FM home for what is already the #1 sports radio station in the country. This new station will also be a key part of the CBS Sports Radio network that will be launching nationwide in January. Speaking of sports, the Summer Olympics helped drive strong results in our Outdoor international business in the third quarter. Even with the challenging European economy, our international division posted a double-digit revenue increase. And in the Americas, our U.S. billboards and displays business pulled in another strong quarter and continues to grow. So as you can see, we have turned in another terrific quarter with record results across the board. This is a direct result of the strategic steps we have taken to transform CBS, as well as the blocking and tackling at our industry-leading core businesses. After we post record results for the full year 2012, 2013 will be even better. Let me tell you specifically why we know that. Ratings and advertising will grow. We have the strongest possible kick start to the year with the 3 major primetime events that I mentioned. These broadcasts will give us a huge boost in advertising, and thanks to the promotional platform they will provide, our ratings in the quarter after that will benefit as well. We are very confident that our primetime ratings will continue to improve. As the season goes on, we will finish the season on top and very strong in every single one of the key demos. Next, we will increasingly monetize all of our ratings in all of our viewing. Industry measurement is catching up with the changing habits of content consumption, and this will be to our benefit. Again, these developments represent significant upside for us. Syndication will drive next year as well. We have the 4 big dramas I told you about coming in '13 and '14, and we keep replenishing our pipeline with CBS and Showtime content for future syndication sales domestically and internationally. We'll also have more streaming deals that will be done in 2013. As I mentioned, we're now considering exercising our options to add library seasons of current shows into our streaming deals. This could have a major impact on our results next year. Finally, we have 3 more retrans deals coming up in 2013 that together represent another 20% of our station's footprint. These, along with additional reverse comp deals coming up next year, will drive us towards our goal of at least $1 billion by 2017, if not before. And of course, next year and every year, we will continue to manage our business in a way that delivers maximum shareholder value to our investors. That's what we've always promised to all of you, and that's what we do. Thank you. And with that, I'll turn it over to Joe.
Joseph R. Ianniello: Thanks, Les, and good afternoon, everyone. Today, I'll provide some more details about our third quarter, and then I'll talk about what we're seeing in the fourth quarter and 2013. Let's start with our third quarter results. As Les highlighted, CBS's record results this quarter once again demonstrate the benefits of the steps we are taking to grow our revenue with a more diverse mix. As we continue this shift, you can see that the overall financial performance of our company is becoming less cyclical and more profitable. For the quarter, as you heard, we delivered record revenue of $3.4 billion, an increase of 2%. Let's take a look on how that breaks down. Content licensing and distribution was up 8%, and affiliate and subscription fees were up 12%. The continued growth in these contractual revenue streams more than offset lower summer advertising dollars. The progress we have made in growing our recurring revenue sources has never been more apparent than this quarter, with advertising accounting for just 56% of total revenue. As we said before, this revenue mix may shift a bit during the next 2 quarters as we gain more political and Super Bowl advertising dollars. But we expect the overall trend towards more non-advertising revenue to continue. Also, during the quarter, as Leslie said, our continued focus on cost controls, along with our high-margin revenue growth, translated into record profits and margins. Our OIBDA margin of 26% was our best ever. Adjusted EPS in the third quarter came in at a record $0.65, up 30%. This excludes a loss of $0.05 per share on the early extinguishment of debt that we told you about during our last call. The story for our year-to-date performance is very consistent with our third quarter results with records across nearly all of our key financial metrics. This includes year-to-date revenue of $10.8 billion, up 3%, with growth in every single segment; year-to-date OIBDA of $2.6 billion, up 13%; year-to-date operating income of $2.2 billion, up 16%; and year-to-date adjusted EPS of $1.83, up 35%. Now let's turn to our operating segments. Entertainment revenue for the third quarter was $1.7 billion, up 3%, driven by growth in global content licensing and higher retrans fees. Entertainment OIBDA of $384 million was down $21 million. This decline was due in part to the timing of P&A costs for 2 film releases this fall versus no releases a year ago. In our Cable Networks segment, revenue for the quarter was $436 million, up 4%, driven by continued steady growth in rates and subscribers. Cable OIBDA increased 12% to $227 million, driven by revenue growth and the benefit of increased ownership in original Showtime content. Turning to Publishing, third quarter revenue was $210 million, down 5% because of a decline in the sales of traditional print books. However, more profitable digital sales were up 20% for the quarter and now represent 21% of total Publishing revenue. Publishing OIBDA of $39 million was up 3% for the quarter, demonstrating the improved profitability of this business as it shifts towards a more efficient distribution platform. This was also the reason that Publishing's OIBDA margin expanded from 17% to 19%. In Local Broadcasting, third quarter revenue of $661 million was up 1%. TV Station revenue was up 7%, and Radio revenue was down 5%. Political dollars definitely shifted from the third quarter into the fourth as campaigns chose to spend their dollars closer to the election. Local Broadcasting OIBDA was $213 million, up 16% for the quarter. And the OIBDA margin grew 4 percentage points to 32%. The expanded margin was due to the higher-margin revenue, lower programming costs and the benefit of a new long-term music royalty agreement. And finally, Outdoor revenue for the quarter was $486 million, up 2% on a reported basis. On a constant dollar basis, revenue grew 5%, led by Europe, which was up 14%, driven by the Olympic Games in London. In the U.S., our billboard and display businesses were also up 5%. Outdoor OIBDA of $99 million increased 24% in the quarter, also driven by the Olympics. In addition, this business continues to benefit from improved operating efficiencies, as well as the elimination of unfavorable contracts. You can see the results of these efforts in our Outdoor OIBDA margin, which expanded 300 basis points to 20%. Turning to cash flow and our balance sheet. For the quarter, free cash flow payment of $163 million compared to $29 million last year. Both of these figures were affected by special items, including this year's debt refinancing and the discretionary pension funding from a year ago. Year-to-date, free cash flow was $1.3 billion. Also for the quarter, you can see interest expense declined to $95 million from $110 million a year ago, reflecting the benefit of the debt refinancings we did this year. In addition, we remain consistent with the accelerated pace of our share repurchase program in the third quarter, using $300 million of our authorization to retire 8.6 million shares. We have $2.8 billion remaining on the program as of September 30. And also, we had $947 million of cash on hand at the end of the third quarter as well. Now let me give you a few observations about what we see in Q4. We're seeing accelerating trends across the Local Broadcasting segment, which is pacing to be up double digits for the fourth quarter. This is led by our TV stations which are pacing to be up 20-plus percent, driven by the surge in political spending. Outdoor Americas is pacing up low single digits, offset by declines in Europe because of the continued economic challenges in that region. And at the CBS Television Network, scatter trends remain healthy with fourth quarter pricing up in the mid-teens over the most recent upfront. So with 2012 set to be a record year, we are focused on delivering an even better 2013. Les told you about the key factors that will drive our results next year. Let me tell you where you're going to see them in our key types of revenue. In content licensing and distribution, we will see a significant increase in revenue as 2 of our hit shows go into first cycle syndication. Streaming revenue will also benefit from renewals and extensions on existing deals. So this year's streaming revenue will be bigger than last year, and next year's will be even bigger than this year's. In affiliate and subscription fees, we know we'll see continued growth in cable affiliate revenue, retran and reverse compensation. Between the retrans deals coming up and the reverse compensation we expect next year, we will approach the halfway mark to that $1 billion in revenue that we spoke about earlier. And in advertising, as you know, we are set to benefit from the Super Bowl, which will hit both our Entertainment and Local Broadcasting segments. In addition, we will benefit from higher pricing as a result of our upfront CPM increases. And we will have 17 more hours of primetime inventory in 2013 that we didn't have this year due to the political coverage, not to mention an increased share of summer ad dollars without an Olympics in 2013. So all 3 key types of revenue, content licensing and distribution, affiliate and subscription fees and advertising, will be strong next year. At the same time, we will continue to be vigilant about our costs as we always look for ways to improve productivity. And we will also be improving our bottom line from lower interest expense, lower depreciation and amortization expense and lower shares outstanding. And of course, capital returns to our shareholders in the form of share buyback and dividends will remain our key priority. So what you can expect from CBS in 2013 is more of the same and then some. And with that, Gwen, we can open the line for questions.
Operator: [Operator Instructions] And we'll take our first question from Benjamin Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Les, I want to ask about you the TV viewing numbers we're seeing since obviously, everyone's focused on them, not just for the industry but for CBS. The 3 areas that I think are sources of leakage in the Nielsen ratings would be VOD, where the ad loads aren't the same; DVR viewing after 3 days; and then sort of streaming on players like TV.com and now your Hulu Plus deal. How do you address all of those? And how quickly can that get taken care of? Because it's obviously something that's impacting the business. And then I have one follow-up for Joe.
Leslie Moonves: Yes, clearly, Ben, we've been heading in this direction for a long time. We have seen this coming. DVR usage has been growing. And obviously, streaming is sort of a pretty new, as is a VOD. And some of it we're getting paid for. Look, the majority of DVR viewing is in the first 3 days, which is good, and we're pushing to get it to be -- to 7 days. And we think that's going to happen within a relatively short period of time, as well as that. Streaming, once again, we are getting paid for it on cbs.com. We're making all these deals. And VOD is going to get there as well. So as I said, it's a different way of looking at our world. But once again, when you add all these elements together, financially, it is a positive for us. And once again, you have to stop -- people have to stop looking at overnight ratings because it's really a very, very different ballgame than it ever was. And once again, we are encouraged because more and more people are absorbing content, and we're going to get paid more and more.
Benjamin Swinburne - Morgan Stanley, Research Division: Sure. And then, Joe, just a separate topic. You mentioned depreciation and amortization. It's down in the quarter year-on-year. When I look at the cash flow statement, your CapEx is running at like $150 million year-to-date versus D&A of $390 million, and I think everyone knows CBS generates more free cash flow than GAAP earnings. How long does it take for that to close? And should it close all the way?
Joseph R. Ianniello: Yes, it'll definitely close, Ben. It'll take a few years because when you depreciate, some -- it's usually our useful life is kind of on a 5- to 7-year average life cycle. So we've been on there -- at this for a few years now. So I think over the coming years, you'll see that continually step down. I think we do kind of give some kind of forward disclosure in our 10-Q and K filings to help you. But it'll take a couple of years, but it's going to converge down with our kind of lower capital spending over the years.
Operator: We'll take our next question from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: I have 2 questions. Is there any limit what you can put through Netflix, any other SVOD players? I mean, besides the CBS shows, are there other shows that can go in?
Leslie Moonves: You mean besides the CBS-produced shows?
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Meaning -- no, no, no, like -- no, no, no, not the CBS. I meant, like, Showtime shows or -- besides the network shows. But you mentioned library.
Leslie Moonves: Yes, I mean, Showtime, actually, was one of the first precursors. They had Dexter on Netflix before we even made our CBS deal. So yes, we have deals in place potentially down the line for shows from Showtime, from CBS and The CW. So -- and then once again, once again, the only deals we've made so far are about 7% of our library content. And then we just added CSI: Miami to that mix since we took it off the air in May. So frankly, the sky's the limit in terms of availability and our ability to grow our deal with Netflix.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: So as the second part of that question, but not my second question, to be clear, how high can Entertainment margins go?
Joseph R. Ianniello: Well, Jessica, look we're definitely investing in content as we are owning more and more of the content. So clearly, it builds, and you can see that kind of as the overall company, but just look at the overall margin. Again, I always like to focus people on looking at margins more in a year-to-year basis, year-to-date basis as opposed to a quarter. But clearly, these are high-margin revenue dollars that will continue to expand.
Leslie Moonves: Okay. And now you can ask your second question.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: And now I can ask my real second question. So the second question is when you guys talked about, both of you, Les and Joe, you talked about 2013 drivers, I didn’t really hear Outdoor or Radio being a driver. Can you talk about the long-term strategy? Do you really need to hang on? And if you don't need to hand on to them, can talk structurally what you guys are thinking of?
Leslie Moonves: Go, Joe.
Joseph R. Ianniello: Yes, well, I'll take it. Yes. Look, I think from a Radio perspective, it's absolutely producing content. Sports and news, it's key to the overall CBS strategy. We have a large market focus, so I think it fits very nicely. Obviously, we like the margins. Obviously, these brands are going online, and it's living outside of just the local region. So we're very bullish on Radio and as well as Outdoor. So Outdoor, we know there's lots of interest in Outdoor. We understand what some of our peers are doing. We're definitely considering all options for it. But again, there is a lot of focus on it because I think everybody sees the value that we see.
Operator: And we'll go next to David Bank with RBC Capital Markets.
David Bank - RBC Capital Markets, LLC, Research Division: Two questions. I guess the first one is with respect to your commentary on selling current series’ past seasons into online distribution potentially, what was your thought process there? What made you arrive at this point today where you think you might be ready to do it? And more importantly, what do you think the monetization of that kind of content would be? Do you think it's similar to the kind of levels you're seeing in traditional syndication for that same kind of content? And the second question is can you walk us through 2 things with respect to sort of ratings and ad growth? The first is, that the C3 ratings progression over the first couple of weeks of the season. So have we seen improvement in ratings? And as a progression, do we expect to see that to continue? And second, can you talk a little bit about maybe ad revenue pacings at the network for the quarters just to give us a sense of -- we see these ratings numbers, and I don't think -- I think the correlation between ratings and revenue is a little bit lacking, and so maybe you could kind of help us see that one more clearly.
Leslie Moonves: All right, David. In terms of -- it is definitely a shift for us. And you know what, we've looked at the results from Netflix and Amazon, we're getting more and more information from streaming on our own sites. And in certain cases, we have come to the conclusion that streaming of previous seasons of certain shows will actually give benefit to it, as it has been with syndication. As we saw with NCIS when it went to syndication, ratings went up; Big Bang, ratings went up. So we're now taking a look. And as you know, Netflix really likes -- would like to do that, and we have deals in place for previous seasons at very good rates. So it is looking like it is very attractive, obviously, for the bottom line, as well as we think it will be a help to the network, not a hindrance, to do that. What that could mean? It could mean tens of millions of dollars. It can be the equivalent or even better than or part of syndication. In other words, like we do internationally. You take a show and you look at slicing and then dicing it in very, very different ways than you ever did before, and it's great that now you have 12 revenue streams instead of just basic fast fall down the middle to syndication. Regarding the C3 progression, going to your second question, we absolutely -- as I said, there a lot of factors that influence the start of the season. There was a lot of political things going on, and we have seen it grow. Frankly, the numbers have grown from that, and C3 is becoming a bigger part of our universe. And when you see these numbers, as I said, 3 million, 4 million viewers added to a number, 1.5 points added to an 18 to 49 number, they are substantial, and they are growing, and more and more people are doing that. And that's especially potent when it comes to the 10:00 shows because 10:00 shows people go to sleep, but they may watch that 10:00 show the next day. And we're finding it -- you look at Monday night, and you see there are 3 10:00 shows that are actually working on all 3 networks, and they all are benefited greatly by a C3 number, which is very high. And that's Hawaii Five-O for us, Revolution and Castle on ABC. And in terms of the ad pacing, once again, as Joe mentioned, we are seeing mid-teen growth in the scatter market. Add that to the high single digits that we got in the upfront, and you're looking at substantial growth numbers as we head into the fourth and then the first quarter, which is why we're optimistic and why we stated our pacing is actually growing and it's getting more and more intense. So looking forward, the rest of the season should be terrific.
David Bank - RBC Capital Markets, LLC, Research Division: So Les, ad revenue, you're expecting to be positive in the fourth quarter at the network? Is that what you're saying?
Leslie Moonves: Yes, yes.
Operator: We'll take our next question from Anthony DiClemente with Barclays.
Anthony J. DiClemente - Barclays Capital, Research Division: I have 2 questions. One is I just want to hear a little bit about the new retrans deals that you talked about in your comments. I think you said AT&T, DirecTV, Cablevision. What is kind of the timing of when those start to hit? I'm just wondering, as we kind of model out retrans and reverse comp, how -- what the cadence of those new revenues look like. And is there any point where we should see more of an acceleration? And then just a little bit, anything on color -- on background on how those conversations go and kind of what those deals look like? And then my second question is just around this kind of new topic today on current release, sales of your content. Just to clarify, what would be the monetization vehicle? Would it be -- would those be kind of lumpy onetime content revenues? Or would that be like a revenue share, for example, like with the Hulu? Because I do remember one of the issues on that was your sales force and being able to -- if it is selling advertising against currently leased programming, the idea of relinquishing the sales process to an online distributor. I'm just wondering how that will all work. So if you could comment on those 2, I'd appreciate it.
Leslie Moonves: I'll give you a little color on the retrans, and Joe will go to the number. Look, we have a lot of power. The NFL gives us a lot of power. In addition, as I mentioned, having Showtime is great. So the conversations were heated. They were intense. But we're happy we didn't have to pull our signal and cost ourselves any money. Did Jimmy Dolan and I deal directly? Yes, quite a bit, quite a bit, and it was a good conversation. As you can imagine, there was wrangling. The same thing in all of the conversations, but we came out very well. Joe, why don't you talk about...
Joseph R. Ianniello: Anthony, when they hit is usually again -- as soon as we sign the deals, they're usually effective immediately. So there's obviously -- we can't talk about anything specific, but obviously, we see the value of the long-term deals, and there are escalators in them. And as far as the past seasons of current shows, for instance, a CSI or something like that that’s been sold through, yes, the revenue recognition does get lumpy. But usually, again, it's over periods of time, and then they have to kind of re-up to extend those. So again, it kind of continues. So we look at it more as an annuity, but it does get a little lumpy in the way the accounting rules work.
Anthony J. DiClemente - Barclays Capital, Research Division: Okay. And then just online ad sales against your current release programming, can you just talk about that?
Leslie Moonves: We have -- obviously, we've put them up on cbs.com and the shows that we own and...
Joseph R. Ianniello: Yes, and we monetize them at CPM rates higher than -- as high as the network. So...
Leslie Moonves: And with full ad loads.
Joseph R. Ianniello: With ad loads, yes. So we're fully monetizing on that.
Leslie Moonves: Yes, and that's growing every day.
Operator: We'll take our next question from Michael Morris from Davenport & Company.
Michael C. Morris - Davenport & Company, LLC, Research Division: Two questions. The first one is on your advertising trends, day parts other than prime. We have a lot of focus on prime and the ratings there. I think that that’s about 1/2 your ad revenue. I'm curious as to, number one, sports and the NFL. Are you seeing the growth? Are you seeing better growth at the NFL than you're seeing in kind of these primetime ad pacings you're talking about? Also, we're seeing some more NFL content in prime with the later starts on the East Coast and the AFC Championship Game in prime later this year. So if you could comment on the sports and also just kind of daytime news, what you're seeing there. And then second, just over on the streaming deals, it's a hot topic for us, obviously, but how much of the streaming revenue is coming specifically from Netflix as you look forward and you say 2013 is bigger than 2012? And really, the root of my question is there's some concern that at some point, Netflix can't continue to increase their content payments. Your thoughts there would be appreciated.
Leslie Moonves: I'll deal a little bit with the first part, and I'll have Joe do the streaming. In terms of sports, it's still the hottest ticket in town, specifically the NFL. It's selling very well at every single network. Our ratings are up a couple of points from a sensational year last year. You're not seeing -- that's the part of the universe that streaming doesn't come into play. Live sporting events is still huge, and yes, the pacing is even better, far better, than it is even for primetime. So we're very excited, and we wish the NFL lasted for 32 weeks instead of 17. And once again, having the AFC Championship and the Super Bowl, we're able to put together some pretty compelling packages. Daytime pacing, once again, it's -- I wouldn't call it as robust as prime, but it's doing extremely well. We make -- once again, our daytime programming makes significantly more profit than it made a couple of years ago. News, once again, has been a very active season. And the good news for both of our key news franchises, Scott Pelley's numbers are up considerably, and the Morning is up a lot as well. So we're really pleased with what we're doing there.
Joseph R. Ianniello: Mike, as far as streaming, obviously we have deals with Netflix, Amazon, Hulu Plus and a lot of others that are talking about the marketplace. I think what we rest assured is that consumers want to consume content this way. So I think it's going to find its home. Obviously, we look at Netflix's financials as well when we do deals with them. But they're very successful, and they have a huge installed base. So there's lots of value there. But again, I think it's really being driven by consumer demand.
Michael C. Morris - Davenport & Company, LLC, Research Division: And so this putting the prior seasons of currently on-the-air shows, that's not just a Netflix-type of arrangement, that's across a number of these partners or...
Joseph R. Ianniello: Yes, we can do that, again, across the board.
Leslie Moonves: Again, the great news is all these deals are non-exclusive. But once again, we're not going to take the entire schedule and put it on. We're going to pick and choose the shows that we think, a, are already sold into syndication; or b, we think that could help us in terms of raising the ratings on the network. So -- but once again, when you look at what we have on the air and all the seasons that are not streamed, that could be a sizable amount of money over the next couple of years.
Operator: And we'll go next to David Miller with Caris & Company.
David W. Miller - Caris & Company, Inc., Research Division: Yes, I just have one question for Les. Les, you mentioned the ratings issues. You mentioned sort of the NFL network, the debates, DVR viewing, et cetera, as somewhat of a culprit here. I'm surprised I didn't hear you say anything about sampling of new shows across the other networks -- or the other broadcast networks, I mean. And the reason I cite that is because I think it was the fall of '08, could've been the fall of '07. I think it was the fall of '08, where -- no one really remembers this because the fall of '08, we obviously had other problems. The world was basically ending. But if I recall on the fall of '08, there was a lot of sampling of other new shows on ABC, NBC, Fox, et cetera. And eventually, viewership kind of came back to you at around this time of year. It was around early November. Are you seeing that at all? It seems like you might be, just especially in light of your commentary about the strength of the scatter market.
Leslie Moonves: Yes, I mean, look, the early part of the year is always about sampling. People have spent the whole summer, some of them spent the Olympics, promoting new shows, and people want to try them out. This past week, we had our highest-rated week ever. This is the first -- this is the week that we were comparably better than a year ago in just about every demo -- I think in every demo. So what happens is they do go out and sample. And guess what's winning Wednesday night at 10:00 in every single demo? Year '13 of CSI, by a lot, okay, against 2 new shows, 2 new shows heavily promoted. So you know what, the stability of CBS is coming to the forefront much now -- much more now than in the opening couple of weeks of the season. So I didn't bring it up because it's sort of the same thing every year.
Operator: We'll go next to Laura Martin with Needham & Company.
Laura A. Martin - Needham & Company, LLC, Research Division: Could you give us an update on film and remind me what the allocation of capital is towards the film business in 2013, Les? And then for you, Joe, Fox was kind enough to tell us that political advertising in the third quarter was $40 million positive swing for their station, and I know it sounds like most of yours is coming in the fourth quarter. But could you size for us over the course of 2012 what you think the political is going to come -- or came in at, actually?
Leslie Moonves: Yes. Laura, on film, we will have released 4 movies this year. '13, it looks like there's going to be 3. Once again, all of these are very low-budget releases, once again, not a great deal of exposure that really affects anything. As Joe said, look, we had P&A on 2 movies within a 3-week period of time, and last year we had 0. So it did affect that. But there is -- it's really very minimal.
Joseph R. Ianniello: And Laura, on political, just to give you some context, in 2008, the last presidential, we generated $140 million total over the full year. We're going to significantly beat that. So -- and again, more of that than normal is coming in, in the fourth quarter. So we're still tabulating those dollars as we speak here today.
Operator: And we'll go next to Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Les, I wanted to take a step back and shift the ratings discussion to TV schedule management. You know I agree with you regarding all of the unusual factors so far this season. So let's say CBS now or at some point in the future does have quite a few aging shows. Does the breadth of strength across your schedule go from sort of an important advantage to a disadvantage in sort of 2 areas? First challenge is you have a profit incentive to keep shows in the air, right, even when the ratings decline because you might make a lot of money on those shows international, syndication, plus a lot of your -- any shows you have in decline might still be higher rated than your competitors' shows, right? And that sort of leaves the second challenge. You've got so few open spots to try and launch 2 hit shows. If you get to the point where you need to be ramping development, maybe you need more than 1 or 2 hit shows a year. You need 2 or 3 or 3 or 4. You have a lack of shelf space. So I know it's strange to be asked if you were too successful in the past, but I'm curious, how would you approach those?
Leslie Moonves: I never mind being called too successful. That's okay. No, look, scheduling still does matter. And yes, is it harder to get on our schedule than everybody else? Absolutely. As a matter of fact, last year, when we canceled Unforgettable, one of the papers said, which is true, CBS just canceled a show that was higher-rated than any other show at one other to-be-named-later network. Now we canceled it, and ironically, Sony came back to us, and we're now putting it on the summer. We're going to be doing more summer programming. Plus, you know what, our development costs basically are the same year after year. We really don't cut way back. The only year we cut way back was the year of the strike. So we will keep that going. And once again, we have always pulled our shows off a year early. I could have kept CSI: Miami on, but we pulled it off to make room for a Vegas or an Elementary, and that's what we did. We took CSI: Miami. We moved Mentalist from Thursday to Sunday, and we put Elementary in there, which looks like it's going to be a brand-new hit franchise for us. So look, I still look at the schedule every day. I'm still paying attention to it. We still are in full-scale development. And I think you have to look at the television universe in totality. Network ratings, profitability are all important, but as you know, we like having high ratings.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: So if I try to put a fine point on it, Les, would you say at this point that you're worried at all that you have too many shows that are aging at the same time? Or do you still feel like this is an overall healthy schedule?
Leslie Moonves: We have the 2 highest-rated new shows of last year in Person of Interest and Two Broke Girls; highest-rated new drama, highest-rated new comedy. I think we have 2 keepers from this year. So our schedule is still filled with a lot of young shows mixed in with so many hits. Blue Bloods is only 3 years old. Hawaii Five-O is only 3 years old. NCIS: LA is 4 years old. So there is a lot -- Good Wife is 4 years old. There's a lot of youth in the schedule. Just because we have Babe Ruth and Lou Gehrig, it doesn't mean that we don't have the up-and-coming young rookies, too.
Operator: And we'll go next to Tuna Amobi with S&P.
Tuna N. Amobi - S&P Equity Research: So one for Joe and one for Les. So in regards to the Olympics, it seems like it was a net benefit to the company given the lease in Outdoor segment. Can you perhaps comment on any impact on the network and how -- what changes that you made there to mitigate the impact there? And for Les, I was wondering if you could comment about the noise around ad hopping. I guess specifically, are there any scenarios where you might consider trading off advertising revenues if you felt that you could be adequately compensated by pay TV affiliates that are pushing such ads keeping functionalities given particularly that your business mix is positively moving in that direction anyways? Any comments there would be helpful.
Leslie Moonves: Okay, Doug, I'll start. With the Olympics, clearly the international Outdoor business benefited by that. We were the premier Outdoor advertiser there. So obviously, with a weak macro backdrop, we were able to post those results. We don't break out specific numbers. And as far as here in the States, it was highly rated here. We've generated some ad dollars. But good for that. And again, we'll have an easy comp next year, and we're focused on this season and going forward.
Tuna N. Amobi - S&P Equity Research: So not possible -- so quite a side impact on the network, Joe, I’m assuming, right?
Joseph R. Ianniello: Tuna, it's hard to say exactly what the ad dollar shift would have been in dollars in the third quarter.
Leslie Moonves: Yes, I mean, look, did it affect our ratings? Sure, but not substantial, and we've anticipated it. And it happens every couple of years. They have the Olympics, and no big deal. And on your second question regarding the ad hopping, the fact of the matter is we produce content, and we need to get paid for it. I suppose if DISH wanted to pay us $5 a sub, we might consider letting them do that. So that would be the alternative to that, but under the current circumstances, they can eliminate our ads.
Operator: We'll take our last question from Alan Gould with Evercore Partners.
Alan S. Gould - Evercore Partners Inc., Research Division: I've got a couple of questions. First, on the retrans deals, you said 40% of your footprint has been done this year. Can you give us the average length of those retrans deals? And Joe, you did mention escalators. Are those escalators inflation? Or are they significantly even greater than inflation?
Joseph R. Ianniello: Well, Alan, I’d say inflation isn't too high. So we don't like carrying the inflation. So we never put inflation in. We prescribe what the rates are. We don't like to rely on somebody else to determine what increases the revenue we have. What was your other question?
Alan S. Gould - Evercore Partners Inc., Research Division: Well, can you give the average length of those 4 deals?
Joseph R. Ianniello: Look, we like the deal shorter because, again, we like to kind of go back at them again. We're open to doing longer-term deals. But you've got -- the terms have to be right, and I think that's important. But on average, the kind of plus or minus 5 years, I think, is a safe bet. But like I said, we're willing to bet on our content and bet on ourselves.
Alan S. Gould - Evercore Partners Inc., Research Division: Okay. And then, Les, you mentioned in your comments that there's no make good situation. I realize the season's early, but you're only getting paid on C plus 3 [ph], not the other items. Can you just explain how C plus 3 [ph], even if you adjust for the Ashton Kutcher effect, the halo effect and others, still running down, say, 10%?
Leslie Moonves: Yes. Number one, most of that 10% is based on one night. And we feel like, and our advertisers agree, that this is going to go away over the next few weeks and as we head into the beginning of the year. So there's no payback necessary. Once again, it's not a cut and dried system where if you've missed the number, they realize by the end of the year, we will be fine, so there's no make goods.
Adam Townsend: Thanks, Alan. And this concludes today's call. Thank you, everyone, for joining us. Have a great evening.
Operator: Thank you, everyone. That does conclude today's conference. We thank you for your participation.